Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to today's Thales 2025 Full Year Results Conference Call. The presentation will be held by Patrice Caine, Thales' Chairman and CEO; and Pascal Bouchiat, Thales' CFO. [Operator Instructions] I must advise you that this conference is being recorded. I would now like to turn the conference over to Mr. Louis Igonet, VP, Head of Investor Relations. Please go ahead, sir.
Louis Thibaut Igonet: Good morning, everyone. Welcome, and thank you for joining us for the presentation of Thales' 2025 Full Year Results. I'm Louis Igonet, I recently joined Thales as Head of IR. I'm excited to be with you today. With me today are Patrice Caine, Chairman and CEO; and Pascal Bouchiat, CFO. The presentation will be followed by a Q&A session. As usual, this presentation is audio webcasted live on our website at thalesgroup.com, where the slides and press release are also available for download. A replay will be available soon after the end of the event. Please also note that this presentation contains forward-looking statements based upon what management of the company believes are reasonable assumptions. These statements are not guarantees of future performance. With that, I'd like to turn over the call to Patrice Caine.
Patrice Caine: Good morning, everyone. So I'm now on Slide #2. So let's start by sharing some highlights for 2025 which was another very strong year for Thales. First, on commercial performance. We delivered another year of strong order intake, equaling the record level reached in 2024, thanks to our strategic positioning in high-growth markets. Our sales growth accelerated, surpassing our guidance. We achieved a robust improvement in profitability compared to 2024. And most notably, our free operating cash flow reached a record high level, reinforcing our financial strength and ability to fund future growth. Hence, we achieved or exceeded all our 2025 financial targets. On the strategic front, we also made major progress in positioning Thales for the future, thus delivering on our strategic road map. Typically, we further increased our production capacity to capture rising defense spending and support our customers' rapid ramp-up, ensuring we meet demand without compromising quality or on-time delivery, which are our clients' key priorities. We also continued to strengthen our R&D leadership with new breakthroughs in 2025 that keep us at the cutting edge of technology from AI with cortAIx to quantum and even nuclear fusion with our GenF project. And we took a major step in space by signing an MoU with Airbus and Leonardo to create a leading European space player, a move that will reshape the industry and secure Europe's strategic autonomy in this critical domain. So moving to Slide #3. To illustrate our ramp-up and successful positioning in the European rearmament dynamic, I'd like to mention our groundbreaking success with SAMP/T NG, a strategic milestone that reshapes the air defense landscape. The SAMP/T NG produced in partnership with MBDA through Eurosam is the world's most advanced air defense system, which offers long-range air defense with a unique detection and tracking capability against all current and future threats, aircraft, helicopters, UAVs, cruise and ballistic or hypervelocity missiles. It definitely sets a new standard in air defense with 360-degree and 90-degree coverage, meaning it can intercept threats anywhere in the sky, extensive interoperability with NATO systems, ensuring a seamless integration with allied forces, high firepower with low manpower requirements, optimizing operational efficiency, encamping and decamping, and 24/7 operations. So with SAMP/T NG, we have disrupted a long-standing de facto monopoly. Denmark's decision to select SAMP/T NG over their legacy system is a clear validation of our technology, performance and value proposal, proving that European sovereignty in air defense is now a tangible reality. And this is only the beginning with SAMP/T NG being a high-value, a large-scale system we expect many more export successes. Moving to Slide 4. Now to discuss what truly differentiates Thales, our innovation and technological leadership, I would like to focus on AI, where we are leading the transformation. Our AI leadership is built on scale and expertise with 800 AI experts and 100 PhD students. We are also expanding cortAIx globally with 5 country hubs across the globe, 200 patents covering the full spectrum of AI technologies, securing our intellectual property and competitive edge. Our cortAIx accelerator is now fully deployed across all Thales divisions, embedding AI into 100-plus products with 250-plus use cases deployed or in development. Another of our strengths lies in our strategic partnership. We are joining forces with industry leaders to codevelop solutions or use cases. With Dassault Aviation, for instance, we are integrating cortAIx into next-gen aviation systems, enhancing functions for manned or unmanned aircraft for observation, situation analysis, decision-making, planning and control during military operations. With Naval Group, we aim to accelerate the development of trusted AI solutions applied to critical systems in several key areas, collaborative combat, decision support systems, electronic warfare, training and simulation, logistics and support, just to mention a few. Then to give you concrete examples of how we are turning AI and innovation into customer value. Number one, our TALIOS reconnaissance and targeting pods capabilities are now unmatched. Boosted by cortAIx AI, it provides AI-assisted targeting, passive detection and enhanced vision to overcome stealth threats, electronic warfare and poor visibility. It maximizes mission efficiency, ensuring safety and maintaining superiority across all domains for the end users. The second example is in the maritime domain, our autonomous mine countermeasures with first delivered in 2025 to the French Navy as AI augmented detection, classification and identification capabilities. I am now on Slide 5. Moving on to our strategic ambitions in space, an area where Thales is positioning itself at the heart of Europe's sovereign capabilities. We have taken a major step forward by signing a Memorandum of Understanding with Airbus and Leonardo to create a leading European space player. This partnership will combine our complementary strengths to build a global scale champion for Europe. Our target is to launch operations in 2027, subject, of course, to regulatory approvals and closing conditions. And this initiative holds significant value creation potential for all stakeholders, for customers, for Europe, for investors. For customers, it means end-to-end space solution from secure connectivity to earth observation and exploration. For Europe, it ensures strategic autonomy in a critical domain. And for investors, it opens new avenues for growth in one of the fastest evolving high-tech sectors. Let's now move to Slide 6 to look at our financial performance with a few charts. As previously said, we have enjoyed strong commercial momentum in 2025, reaching EUR 25.3 billion for the second year in a row. The book-to-bill ratio is maintained significantly above 1, reaching 1.14. Sales recorded a sharp 8.8% organic growth, reaching a record high EUR 22.1 billion. Adjusted EBIT rose by more than 13% on a reported basis, while EBIT margin improved to 12.4%. Adjusted net income, group share, grew by 5.5%, crossing the EUR 2 billion mark. And a very strong generation of free operating cash flow from continued activities, which increased by 27%, reaching EUR 2.6 billion, notably supported by the solid momentum in our order intake. And the last chart, the dividend. This new year of strong financial performance is leading our Board of Directors to propose at the next AGM in May, a 5.5% increase to EUR 3.90 per share. It demonstrates Thales' confidence and commitment to regular shareholder returns. Turning now to Slide 7, looking at our extra financial performance in 2025. I indeed wanted to come back on the continuous progress we've made in terms of corporate social responsibility. First pillar, society. The Thales Climate Passport training deployed in 2024 raises employees awareness to climate change and its impact on society. The 2025 campaign was a success with over 94.6% of managers who completed the training, way above the 85% target. We are clearly ahead of plan on this pillar. Second pillar regarding our strategy for climate change. Our CO2 emissions from Scope 1 and 2 decreased by 75.2% in 2024 and Scope 3 emissions decreased by 15.4% compared to 2018. The group has thus achieved its 2030 targets ahead of schedule for the third consecutive year. The absolute carbon footprint reduction targets remain relevant for 2023 in light of the group's growth prospects. Finally, our third pillar named people aims at strengthening gender diversity where at the end of 2025, we are in line with our 2030 trajectory. First, the percentage of women in senior management position reached 21.8%. And this performance is in line with the group's trajectory to reach the set goal of 25% by 2030. Second, the percentage of management committees with at least 4 women reached 69.2% in 2025 compared to 64.1% at the end of 2024. For 2030, we have set an ambitious target to have 85% of management committees with at least 4 women. After this introduction, I now hand over to Pascal, who will comment our financial results in greater detail.
Pascal Bouchiat: Thank you, Patrice, and good morning to everyone. I'm now on Slide 9. So starting with order intake. As Patrice mentioned, 2025 was again a strong year in terms of commercial momentum as order intake was maintained at a record level, namely EUR 25.3 billion. This reflects the quality of Thales' diversified product and solutions portfolio fit for our clients' purposes. The book-to-bill ratio stood at 1.14, meeting our expectations for the year and even 1.24 for Defence segment. This bodes well for future revenue generation. This robust performance was driven by all type of orders with a notable strong momentum for orders below EUR 100 million. Looking at large orders. 28 orders with a unit value over EUR 100 million were booked in 2025, of which half in the sole fourth quarter. 20 large orders were booked in Defence with several flagship contracts notably in Air Defence. I can, in particular, mention the LMM, Lightweight Multirole Missile contract with the U.K. MOD or a major land surveillance contract with the German MOD. 2025 saw also a good momentum in Space with large -- with 5 large contracts booked, of which 1 in OEN and 4 in telco, including the IRIS2 initial phase contract. Avionics booked 3 large contracts, of which a flagship contract for IFE with a major U.S. airline in Q4 2025. Overall, a strong performance in 2025 for order intake, driven by continued high demand from our clients in all our businesses. Now moving on to sales on Slide 10. Sales in 2025 reached EUR 22.1 billion, translating into an organic growth of 8.8%, significantly above the top of our guidance range, which was upgraded in July. This robust performance was notably driven by Defence activities, which recorded double-digit organic growth again this year. Aerospace also contributed significantly with stronger organic growth fueled by both Avionics and Space activities. Cyber & Digital sales were slightly down organically, in line with latest expectations. I will comment further the performance in the following slides. From a geographical perspective, sales organic growth was again well balanced between emerging and mature markets. It's worth noting that all our emerging markets, Asia, Middle East and Rest of World, recorded double-digit growth. Reported growth was negatively impacted by material currency impacts this year as the euro strengthened against most currencies in 2025, against the U.S. dollar, as we are all aware of, but also against other currencies like the Australian and Canadian dollars. Overall, currency led to a 1.5 percentage points headwinds on 2025 sales reported growth. Scope impact was positive and resulted mainly from Cobham Aerospace Communications acquisition in April 2024. Taking into account these elements, 2025 sales recorded a solid 7.6% reported growth year-on-year. Let's now have a look at adjusted EBIT. I am on Slide 11. So as you can see, adjusted EBIT increased sharply in 2025 and reached EUR 2.7 billion. This increase mainly was driven by the significant progression of our gross margin, up by EUR 391 million (sic) [ EUR 383 million ]. This was mostly the result of the sales volume progression in Defence and Aerospace. Looking at indirect costs. R&D expenses continue to increase in volume and represented 6% of sales in 2025, in line with our expectations. Marketing and sales expenses were broadly stable organically, reflecting Thales' ability to optimize its indirect cost in line with the evolution of the business. This was notably the case in Cyber & Digital in 2025. G&A grew organically at half the pace of revenue, which is also satisfactory. Equity affiliates contributed positively for EUR 61 million to adjusted EBIT growth in 2025. This includes, in particular, a stable contribution from Naval Group, which includes the fiscal surcharge in France. It also includes positive contributions from various JVs, notably from our Defence JVs. It also reflects a one-off positive effect linked to the Thales JV, which is accounted for in our Digital Identity business. A word on mechanical effects. As for sales, negative currency impact at minus EUR 37 million outweighed scope positive impact at EUR 24 million. Moving on now to performance for you by segments, starting with Aerospace on Slide 12. Orders in the Aerospace segment amounted to EUR 6.1 billion, slightly down versus last year on the back of high comparison basis. Underlying momentum in both Avionics and Space remain solid. In Avionics, this solid momentum extended into most activities. In Space, 5 orders with unit value above EUR 100 million were booked, including several geostationary communications satellites and the initial phase contract for IRIS2. Those wins enhance visibility for the coming years. Sales reached EUR 5.9 billion in 2025, recording a solid 8.7% organic sales growth. Both Avionics and Space contributed to this performance. Avionics indeed saw double-digit growth year-on-year, driven by OEN activities. Both flight avionics OE and aftermarket enjoyed strong dynamic, supported by continued ramp-up in aircraft production and also a solid air traffic momentum. Both civil and military domains were supportive. In Space, sales were up as well in 2025, mostly driven by the OEM business. Looking at profitability. Adjusted EBIT stood at EUR 560 million in 2025, an outstanding 39% organic increase, which led margin to reach 9.5%. Avionics posted a solid increase in its profitability driven by stronger aftermarket and further contribution from Cobham AeroComms. Space recovered even better than announced a year ago, posting a positive EBIT in 2025. Now commenting Defence on Slide 13. Order intake in Defence amounted to EUR 15.1 billion in 2025, setting this year, again, a new record high. The book-to-bill ratio stood significantly above 1. It's now the seventh year in a row that Defence sees its book-to-bill ratio stands above 1.2. With a backlog of EUR 42 billion, the level of visibility in this activity keeps being higher at 3.4 years of sales. Thales booked 20 orders with a unit value above [Audio Gap] air defense, effectors, airborne solutions or in the naval domain. We also believe that stronger European collaboration, for example, through EU MFF mechanism such as Space [Audio Gap] EUR 12.2 billion, up 12 [Audio Gap] firmly supported by further production and deliveries ramp up across the portfolio. Surface radars and effectors are, for instance, areas where efforts have been paying off in 2025. Overall, organic growth has outpaced our expectations in 2025. And I want to highlight the tight execution throughout the year that led to this excellent performance. A word finally on adjusted EBIT [Audio Gap] EBIT in 2025 versus 2024. Now moving on to Cyber & Digital on Slide 14. Sales in the Cyber & Digital segment were broadly flat organically in 2025, reflecting a mixed performance. In reported figures, it's worth noting that the FX impact was significantly negative and led to a 3.4 points headwind on sales growth. Starting with Cyber as a whole, which was down 3.8% organically over the whole year. Cyber Products, which represented a bit more than 80% of the Cyber business in 2025, recorded a low single-digit organic decrease last year. As you know, until Q3, we have been impacted by the merger of Thales and Imperva sales forces, which notably led to a higher staff turnover and weighed on the performance. Employee turnover is now back at a benchmark level. In Q4, Cyber Products was back to growth, which is positive, and paves the way for further growth in 2026. Market momentum keeps being supportive and Imperva sales force integration being now over, we should progressively recover sales growth profile. Cyber Services sales were down double digit organically year-on-year as it kept being impacted by soft market in Australia. The premiumization strategy Thales has adopted for this business showed encouraging signs in related geographies as we are focusing on selective, profitable segments. Digital Identity sales were up slightly, 1% in organic terms. Digital Solutions kept driving growth, notably in secure connectivity solutions and payment services. However, volumes on payment cards remained low in 2025. And at this stage, we don't expect the market to improve materially in 2026. Having a look at profitability. Adjusted EBIT margin resisted in the context of lower revenues in 2025 and stood at 13.7%. This is mainly the result of tight cost management in the Cyber business, which saw an increase in margin in 2025 as well as a positive impact from one-off elements in the digital business we already mentioned in July 2025. Turning now to Slide 15 and looking at below adjusted EBIT items. So the line cost of net financial debts and other financial results was moderately up in 2025 as expected. Net financial interest was significantly down in 2025 and stood at minus EUR 116 million in 2025 versus EUR 166 million in 2024, driven by the ongoing deleveraging following the acquisition of Cobham AeroComms. Other financial results amounted at minus EUR 28 million versus plus EUR 35 million in 2024. This evolution is due to the non-recurrence in 2025 of positive one-offs recorded in 2024. The finance cost on pensions and other employee benefits were slightly up in 2025 to minus EUR 56 million. Moving on to income tax. At minus EUR 561 million, the amount of income tax integrates EUR 75 million of tax surcharge in France in 2025. This led the effective tax rate to reach 24.1% in 2025. But it's worth measuring it is broadly stable excluding the surcharge. The 2026 French budget includes a recurrence of this tax surcharge in 2026. The expected impact for Thales in 2026 P&L should amount to around EUR 90 million, a EUR 50 million increase versus 2025. In addition, the impact on our share in Naval Group's net income should be broadly stable at minus EUR 8 million. Minorities have significantly decreased year-on-year to EUR 26 million. This is mainly driven by the reduced net losses incurred by tax. All in all, this led to an adjusted net income, group share, at EUR 2 billion, an increase of almost 6%. The adjusted EPS stood at EUR 9.76 in 2025. Excluding the tax surcharge in France, adjusted net income group share would have been up by more than 9%. Having a look at the bridge from adjusted EBIT to free operating cash flow, I'm now on Slide 16. So in 2025, on Slide 16, we see D&A, depreciation and amortizations broadly stable, while net operating investments were significantly up at minus EUR 746 million, in line with our guidance of 3% to 3.5% of sales. This reflects the group's strategy to keep investing for future growth, for example, with additional industry capacities as already commented. Overall, the balance of D&A and net operating investments amounted to negative minus EUR 260 million. Change in working capital requirements was a strong tailwind in 2025. I will comment further in the next slide. All in all, 2025 is again an impressive year in terms of cash generation. Free operating cash flow amounted to almost EUR 2.6 billion in 2025. This means a conversion from adjusted net income to free operating cash flow of 128%, a very strong performance. Let's now have a look on what drove this impressive performance. I'm now on Slide 17. Firstly, and we've discussed it already, 2025 was once again a year of strong momentum for order intake. Major orders were booked while orders with a unit value below EUR 100 million were solid as well. Secondly, the payment profile from our customers is very satisfactory. This includes down payment, but also highlights Thales' tight management of contract structure. Lastly, the emphasis that we keep putting internally on stocks optimizations over the last few quarters and year showed a positive outcome in 2025. All in all, conversion ratio has outpaced expectations for the year at 128%. For 2026, we anticipate a cash conversion ratio between 95% and 100%. This give us confidence to reach the high end of the guidance we gave at our 2024 Capital Market Day, which is an average conversion ratio of between 95% to 105% over 2024-2028. Now a word on net debt evolutions, moving on to Slide 18. Net debt saw significant reduction in 2025, and Thales' financial position is particularly strong as of end 2025. This was primarily driven by the strong free operating cash flow generation I just detailed. The impact from acquisition and disposal amounted to a negative EUR 69 million, which corresponds mainly to final price adjustments related to the sales of Thales transport business to Hitachi Rail finalized in May 2024. The dividend cash out amounted to EUR 781 million in 2025, corresponding to a payout ratio of 40% and reflecting the increase in adjusted net income. All in all, net debt stood at EUR 1.6 billion as of the end of December 2025. Finally, on Slide 19, a word on dividend. As I just described, 2025 was again a year of robust financial performance and value creation. This leads our Board to propose to the next AGM a dividend of EUR 3.90, up 5.5% versus 2024. This is in line with the payout ratio at 40% and reflects the increase in adjusted EPS. A quick look at the chart on the right-hand side shows the steady growth of adjusted EPS over the last few years, reflecting Thales' ability to consistently deliver sustainable and profitable growth over the years. This marks the end of this financial review. I'm now turning over the call to Patrice, who will address our strategic priorities and guidance.
Patrice Caine: Thank you, Pascal. So now turning to our strategy and outlook for 2026. So let's move to Slide 21. And before talking about our 2026 strategic priorities, I'd like to briefly give you the big picture on the tailwinds supporting our different businesses and the key differentiators that Thales can leverage to keep delivering strong and profitable growth. Thales is a unique business in the sense that we are only positioned on markets which benefit from positive long-term momentum supported by proven resilience and sustainable macro trends. First, if we start with Defence, our activities are supported by a strong need for more security, more protection in the context of geopolitical instability. This is shown by the global increase in defense spending with a notable concentration in Europe, where it is projected to grow high single digits annually until 2035 in Europe. And also by the need for our clients for speed as they seek both high-performance products and solutions as well as good enough products that are quickly available. The competition is fiercer than ever, but we have significant competitive advantages. Number one, our deep and diverse portfolio with a unique and historic ability to fill products with the latest technologies, our AI augmented radars, for instance. Number two, our strong customer intimacy and historic knowledge of our clients' concept of operations or CONOPS. And number three, Thales is the strategic partner of choice at the heart of European rearmament. Our position is unmatched because we are deeply embedded in Europe's defense ecosystem. Moving to Avionics. Well, in Avionics, we have a great visibility, thanks to sustained and powerful demand for travel and mobility. That shows no sign of slowing, resulting in continued growth in global air traffic, as IATA, the International Air Transport Association predicts passenger numbers to double in 20-year forecasts. And at the same time, a global renewal of commercial fleets, which increases demand for our equipment from OEMs. And of course, we have strong differentiators, thanks to our commitment to developing a more sustainable and connected avionics, bringing skills and technologies to build the future of avionics, for instance, through predictive maintenance and new generation of flight management systems. Space now, while demand in the institutional market is improving with a growing number of opportunities, thanks to the rise in government investments, typically growing ESA budget and EU MFF and the need for large-scale projects like IRIS2 or the space early warning initiative. We have won very important contracts and delivered truly emblematic projects, which are a testament to the relevance of our positioning and the quality of our products in exploration in science with the Lunar Descent Element for the Argonaut mission in the 2030. Regarding observation, the long-awaited entry into force of the all-in-one contract with Indonesia and the first slice of the Leonardo constellation. On the telecom side as well, where we recorded a good level of orders and the launch of the initial phase of IRIS2 will allow us to start the technological development of the payload. And lastly, in Cyber & Digital. Well, the omnipresence of connected devices and the digitalization of our daily lives with the consequential need to protect our data, our applications, our identities from cyber attacks continues to fuel our activities. We are a world-class player in Cyber with best-in-class products across application security, data security, identity and access management and also premium cyber services. And the services we provide to accompany all industries in their move to cloud are ideally positioned in the competitive landscape. So moving now to Slide 22. To seize all the opportunities created by this environment and to address the many challenges facing Thales, I have identified 4 key priorities for 2026. The first one being our ability to capture profitable growth. To seize this growth, we will continue to ramp up our capacity which means continuing to scale up production across both existing and new facilities with a clear focus, focusing on high-end demand products such as radars, munitions and optronic cameras, systems like our SAMP/T NG, Rafale equipment, counter-UAS, just to mention a few. And at the same time, ensuring we have the right talent. Hence, we plan to recruit more than 9,000 employees worldwide in 2026. Secondly, we'll put a heavy focus on competitiveness through operational excellence, i.e., continuously improving internal processes to continue to deliver on time at cost and quality, but also AI-driven productivity, leveraging artificial intelligence to transform how we operate from AI optimized logistics to so-called software companion, accelerating development cycles and reducing time to market. Lastly, to fully capture the current momentum, we will continue addressing our customers' core expectation, proximity, intelligence. Proximity, our customers expect alignment with their local realities and sovereign requirements, typically leveraging our ability. We will further strengthen customer intimacy by localizing critical parts of the value chain where it creates value, as we demonstrated, for instance, with the recent radar factory opened in the UAE. Intelligence as well, we will continue to enhance the value we deliver by embedding AI across our entire product portfolio, building on our track record of combat-proven AI-enabled systems already deployed operationally. We are scaling AI capabilities across all our offerings. Another key area of focus in 2026 will be to restore growth in our cyber business. The integration of Imperva is fully done, as said by Pascal. So we are now ready to go back on the offensive. First, by reaping the benefits on the sales team reorganization which is now fully up and running to gain traction and go after significant opportunities across all our segments, IAM, software monetization, that affect application security and the likes. And second, by continuing to deliver on commercial synergies by offering to our clients solutions combining the best of Imperva and the best of Thales across all our activities, for instance, via cross-selling. Lastly, our teams are working on the next generation of cyber products. These developments will be essential to ensure that we outperform the competition. So in a nutshell, we have everything in place to position ourselves for growth on these markets. Regarding the Bromo Project, well, if everything goes as planned, this joint venture will be operational within 2 years. So during this time, we are focused on securing support from all stakeholders. This includes the European Commission, but also many key states and their regulatory bodies. And above all, in the meantime, we remain focused on delivering our road map and maintain a solid pace of recovery. This is essential, as by definition, there is still a lot of work to do before the merger is authorized, if it is authorized. So it is critical that we continue doing business to the best of our ability on a stand-alone basis. And as such, the recovery plan we have been implementing is now bearing fruit as you have seen in 2025. But beyond that, we agree that this project has a strong rationale, securing Europe's future in space and allowing to accelerate innovation through joint R&D and cutting-edge space missions. And hence, competitiveness against global players, lead sovereign and military space programs for European nations and strengthen the European space ecosystem, creating opportunities for suppliers and employees alike. Last but not least, regarding Avionics. Our focus for 2026 will be to expand that business above and beyond. Today, we benefit from a world-class portfolio, supporting our customers in making aviation greener, more digital and more connected. Our ambition is to extend our leadership across all aircraft manufacturers. As you know, the most powerful structural trend in the market in both civil and defense markets is the renewal of most aircraft platforms around the 2030s and we are already actively preparing for this significant opportunity. To that end, in 2026, we are continuing to invest heavily in technologies, in industrial capacities -- capabilities. In technology, our 9 product lines, including flight controls, high-performance IMA, Integrated Modular Avionics, help displays, navigation heads are already competitive and are being further enhanced to address the next generation of platform requirements. In industrial capabilities as well, while we continue upgrading our industrial sites to ensure best-in-class performance and competitiveness. So thanks to the actions already taken and the investments underway, we are extremely well positioned for the upcoming competitions. We are excited to deliver the most advanced, reliable and industrially competitive avionics solutions. So now I'm on Slide 23. Well, all these priorities will bring Thales to pursue ambitious financial targets in 2026. First, a book-to-bill ratio above 1. Second, a dynamic organic sales growth between 6% to 7%, which should correspond to sales ranging from EUR 23.3 billion to EUR 23.6 billion, including FX impact. Number three, 12.6% to 12.8% adjusted EBIT margin, which puts us well on track to deliver our 2028 target. And number four, free operating cash flow conversion ratio still high, expected between 95% and 100%. This is clearly a key strength of our model. So overall, we are well on track to deliver the various commitments we made back at our 2024 CMD where we provided some outlook by 2028. We are not even halfway through the 2024-2028 period. But I can already tell you that we feel very confident in our ability to reach the high end of our organic sales guidance given what I've just described in terms of business opportunities. In terms of operating margin, we are clearly on track to deliver 13% to 14% by 2028. And as far as free operating cash flow generation is concerned, there again, we are confident we will be in a position to reach the high end of our guided range. Many thanks again for your attention, and we will now be pleased with Pascal to take all your questions.
Operator: [Operator Instructions] And the questions come from the line of Chloe Lemarie from Jefferies.
Chloe Lemarie: Could I start with the guidance and digging into the divisional growth expectation, please? So for 2026, what do you factor in, in terms of organic growth for Defence, Aerospace and Cyber & Digital? And in Cyber, what do you call a vigorous market? And how do you think Thales will perform compared to that market growth, please?
Pascal Bouchiat: Okay. So first, I mean, giving you a bit of insight on our segment expected growth for 2026. So in total, as you -- as we mentioned, the guidance of organic growth between 6% and 7% at group level for 2026 over 2025. So going through our divisions, starting with Defence. So Defence at this point, high single digit. Overall, that was by the way what was our guidance for 2025. You have seen that we went above this level ultimately. Now as we move into 2026, we believe that high single digit is a reasonable guidance for Defence overall and consistent with the 6% to 7% overall for Thales Group. Overall, that was, by the way, what was our guidance for 2025. You have seen that they weren't above this level ultimately. Now as we move into 2026, we believe that high single digit is a reasonable guidance for Defense overall and consistent with the 6% to 7% overall for Thales Group. Second, on Aerospace. So aerospace, I mean, growing, by the way, both from avionics and also from our space business. So aerospace overall, what we see probably mid-single digit to mid-single digit plus with avionics mid-single digit. We mentioned as we presented 2025 growth that avionics in 2025 was more low double digit. So we are at this point, probably a bit more conservative on avionics for 2026. And today, as we see mid-single digit, this being based on also, I mean, the announcement from Airbus in terms of OEM, but also, I mean, as we see, I mean, the air traffic developing in 2026. Space, we are positive on the back of, I mean, the 2025 order intake and as we see 2026 overall. So -- and lastly, I mean, CDI overall mid-single digit with, of course, I mean, cyber above this level and digital lower than this level. So as you know, I mean, one of our key priorities that Patrice mentioned is to get cyber back on growth in a market which is today pretty positive, as we said. So at this point, of course, and we mentioned that Q4 for cyber product was getting back to growth, which is not the case for the cyber services that was down in Q4. At this point, of course, I mean, we need to be a bit cautious, but the market is there in terms of demand. Now it's up to us I mean, to get back to growth, in particular, in the cyber product, which is absolutely essential for us in terms of value creation. More to come as we move forward in 2026. But overall, yes, I mean, one key priority for us is to recover and regrowth.
Operator: [Operator Instructions] We are now going to proceed with our next question. And the questions come from the line of Benjamin Heelan from Bank of America.
Benjamin Heelan: I hope you both well. I had a question around AI and the implications around cyber. Obviously, there's been a lot of pressure on software companies over the past couple of months around the threats of Agentic AI. I was wondering if you could talk a little bit about what you're seeing in the cyber market. Do you see it as a threat? Do you see it as an opportunity? How can we, on the outside, think about the impact of Agentic AI on cyber? And then the second question was, I guess, a bit of a follow-on from that. Can you talk a little bit about given what is going on from a technology perspective with AI, how is your M&A strategy evolving to encompass that? Is it a time to accelerate doing deals in cyber or moving into different areas? Is it a time to slow down and see how things progress? Is there any update that you can provide us from that?
Patrice Caine: So I will take this one, Ben, and thanks for your question. Yes, indeed, there has been recently a lot of debates about AI and in particular, Agentic AI and how will it or not, by the way, disturb the software market. Well, as far as the cyber market is concerned, our market, first, it's a mix of, I would say, hardware product and software solution. And typically for hardware, there is no real, I would say, worries to have in mind. For our software solution, I do think this is a clear opportunity to have even more, I would say, efficient solutions to fight against AI --to fight against cyber attacks, sorry. So this is for me a great opportunity. And in particular, we are, I would say, on the verge of, I would say, launching new solutions, leveraging Agentic AI to serve some of our products -- cyber products. That's a key plus for us. Now M&A, if I move to M&A -- well no change, if I may, in our global, I would say, approach or mindset in terms of capital allocation in general and M&A in particular. We will be always, I would say, very pragmatic and financially disciplined. We are looking at every, I would say, verticals of Thales, defense, aeronautics or cyber and digital, probably putting a little bit space aside because we have already a big M&A, I would say, initiative to conclude with the BROMO project. But clearly, I do not exclude any segment or definition to benefit from an M&A, I would say, opportunity. So clearly, I would say we'll see if something will make sense in the next future. But I would say no change versus what we've already discussed for several years in a row.
Operator: The next questions come from the line of Olivier Brochet from Rothschild & Co. Redburn.
Olivier Brochet: Two questions then. First of all, on cyber, you're positioning yourself for growth. Does it mean some pricing efforts that needs to be done there? And what impact do you see for the margin in cyber and digital in 2026. Consensus is at 15.1%. Is that something you think is reasonable? And second question is in your revenues in 2025, how much was done with Ukraine direct and indirect, please?
Pascal Bouchiat: Maybe I will start and let Patrice to complete maybe. Margin. So I mean, first, let me start with this cyber product, which, as you understand, represent 80% of our cyber business. And this is where, I mean, clearly, our challenge to get back to growth and of course, not at the expense of prices. So basically, I mean, this is -- I mean [Audio Gap] And for us, this represents when I talk about the Rule of 30, it should represent a level of EBIT margin of around 20% and overall a level of growth of 10%. This is basically what we have in mind in terms of midterm objective for this business. And of course, as we enter 2026, our view is not to give up on prices just to get back to growth. This is absolutely not what we are willing to do first point. Second point on Ukraine and our level of revenue directed to Ukraine. Giving you just 3 figures. I mean 2024, overall, our revenue directed to Ukraine was around EUR 200 million. It went up pretty strongly in 2025 with overall in 2025, a level of revenue of around EUR 450 million. All of that to be compared to a defense level of revenue for Thales at EUR 12 billion. So if you look at 2025, EUR 450 million out of EUR 12 billion, it's something like 3.5%, 3.6% of our revenue directed to Ukraine. Now we believe that revenue to Ukraine will keep growing in 2026. And today, our view in 2026 is a level of revenue to Ukraine that would be close to EUR 600 million. So it's a growth driver. Now when you look at overall what it represents against our global defense exposure, something like 3.5% of the Defense segment's revenue, which is still pretty limited.
Olivier Brochet: That's very helpful. Sorry, I didn't catch if you commented on the consensus in cyber for '26.
Pascal Bouchiat: The consensus -- no, I'm not...
Olivier Brochet: It's 15.1%...
Pascal Bouchiat: 2026. Overall, I mean, what I mentioned is overall for cyber and digital level of growth mid-single digit. So if you start from our level of revenue in 2025 and if you add up 5% [Technical Difficulty], for the 2026 level of revenue. So overall, starting from 2025 level [Technical Difficulty] CDI -- so if you add the price on top of that, this is how you should get to 2026 expected revenue for CDI.
Olivier Brochet: Sure. No, I was thinking of the margin consensus at 15%.
Pascal Bouchiat: No. So overall, I mean, it's above what we have in mind. It's above what we have in mind. If I start with 2025, we mentioned a level of margin for CDI at 13.7%. But we said that we had in this level of margin, I mean, a few positive one-offs. We believe that the 2025 recurring level of margin is more in line with 13% for 2025, putting aside those one-offs -- by the way, I mean, you need to understand that in 2025, CDI had also to face with 2 headwinds, one being, I mean, the drop in the U.S. dollars plus implementation of the U.S. tariff. So all of that representing probably something like 1 percentage points of headwinds. And this leads to a recurring level of margin in 2025 at 13%. And I mean, from that, this is what we could expect for 2026. So maybe slightly above this level, but this is, I mean, the overall ballpark that we could expect for CDI EBIT margin in 2026.
Patrice Caine: But I think, Olivier, your question was related to cyber, not CDI as a whole. You mentioned the 15.1% consensus for 2026 for cyber, which corresponds to what we see globally for the cyber segment of CDI for 2026. So...
Pascal Bouchiat: Yes, 2026, I mean, I'm sorry for that, but I mean the connection is not great. So if your question was about cyber EBIT margin for 2026. So overall, a 15.5% EBIT margin for 2026 is what we have in mind.
Operator: We are now going to proceed with our next question -- and the questions come from the line of Alessandro Pozzi from Mediobanca Capital.
Alessandro Pozzi: The first one is on free cash flow conversion. I was wondering if you can perhaps share your assumptions around working capital and CapEx. I think working capital was a key contributing factor in 2025. And given the order intake, perhaps maybe we should assume something similar for '26. And CapEx I think you mentioned that -- of course, you have the ramp-up going on, you increased the production of radars and you mentioned that potential CapEx is going to go up again in 2026. And if you can quantify that as well? And second question on capital allocation, which is a nice segue from the first question is, your net debt is substantially down, and we know that your priority is to delever the company. But I think by 2026, probably that target will be accomplished and or you're going to be very close. And I was wondering whether we should think about a different capital allocation, maybe more buybacks as well. So any thoughts on that will be appreciated.
Pascal Bouchiat: Okay. Thank you very much -- thank you very much, Alessandro. So we can -- by the way, we can hear you loud and clear, which was not the case before, much better. So let's start with, I mean, cash flow generation for 2026. I mentioned that, I mean, conversion ratio should be 95%. And this takes into account a few assumptions that you want me to give you more insight. So first, in terms of CapEx, it's true that we'll keep seeing our CapEx moving up in 2026. Overall, I mean, if you look at 2025, CapEx were at around EUR 750 million. 2026, it should be higher and probably, in my view, EUR 820 million to EUR 850 million CapEx for 2026, pretty much in line with the overall CapEx to revenue ratio around 3.5%, which was the high end of our guidance that we shared with you at our Capital Market Day in November 2024. So first point. And second point, in terms of working capital, it's true that 2025, I mean, change in working capital was a clear tailwind and reflecting, I mean, in particular, down payments and large down payments in particular, defense export contracts. 2026 at this point, we believe that the guidance that I mentioned about conversion ratio is more based on a flattish level of working capital. So this is, I mean, what we have in mind. Of course, it will depend at the end of the day of the -- of our order intake and the profile of order intake, in particular, coming from export contract. But at this point, what we shared with you is the level of cash flow generation. So I mean, makes -- to ensure 100% being based on something like a stable level of working capital. So again, with a stable level of working capital, a pretty strong level of cash flow generation again. With Thales investing also more in terms of CapEx. As I mentioned, I mean, a level of CapEx EUR 820 million, EUR 815 million, it has to be compared to a level of depreciation slightly above EUR 500 million. So basically, we keep investing on all our industrial sites. We keep investing on ISIT. We keep investing in engineering tooling for us, I mean, to benefit from the growth that we see down the road. Maybe capital allocation for Patrice.
Patrice Caine: Yes, I can -- Alessandro, I can come back on this point in a more global setup. As you know, we've said that for a while now we have all the different levers available in what we call that ToolBox in Thales. Clearly, you've mentioned, number one, deleveraging the company, which is an important stake for us as we do want to keep Thales being an investment-grade company with a strong balance sheet. Clearly, funding our organic growth through CapEx and R&D, and R&D is super important for us. M&A, we discuss M&A with the same, I would say, philosophy as already discussed, dividends as well. And we said that the 40% payout ratio will be proposed to the AGM giving clear visibility on this front. And last but not least, buyback. So buyback is part of the ToolBox clearly. Now don't -- always keep in mind that among the different criteria that we look at if and when we have to decide for a buyback is clearly the price of the company, the share price. Is there a gap or not? Do we think there is clearly potential in terms of valuation of the company that is not well understood by the market. And it's true that currently, if we look at the share price of Thales, I cannot say that there is a misunderstanding or a mismatch between the full potential of the company and how the company is currently valued by the market. So all in all, the ToolBoxes there, we have all the levers in hand, and we do not exclude one among any others per definition.
Operator: We are now going to proceed with our next question. And the questions come from the line of Christophe Menard from Deutsche Bank.
Christophe Menard: I had two. The first one on BROMO. Thanks for the update. Is there any extra update on the authorization? Any progress being made on this, quite obviously? You mentioned it needs to be authorized. That's the key element. And the other question on SAMP/T NG , thanks for the update as well. The contract in Denmark, has it been confirmed -- I mean, there has been announced back in September, but is it confirmed yet? And can you comment -- I mean, you mentioned a few other potential markets. Do you see more interest since the September [ CH ] or the September announcement? And what is the updated potential?
Patrice Caine: I can start and Pascal will complement, of course, if needed. Well, on BROMO, I would say so far so good. I mean, everything is on track. Number one, the social processes are ongoing. And I would say with constructive discussions with the unions, constructive discussions. They do understand the rationale of this initiative. And I would say the benefits for everybody, the customers, the employees and as well the shareholders of the groups. Of course, the second work stream, which is important is antitrust authorization. On this front, discussions are ongoing in a positive -- I would say, with a positive, I would say, mindset of everybody. So this is -- I'm not saying that we expect such outcome. But globally speaking, I would say the discussions are constructive on this front as well. That's the two main work streams. There are many others, but probably with less, I would say, importance than those two ones. So stay tuned. We'll keep you informed, of course. But for the moment, work in progress in a positive sense. On SAMP/T, there is, for me, absolutely no risk not to do this contract in 2026. The Danish customer even passed us some LLI contracts, long lead item contract to, I would say, anticipate the formal and definitive full scope contract that was clearly expected in 2026. So no surprise on the fact that it was not booked in 2025. Denmark has chosen to go through [indiscernible]. That's why it takes a bit of time. And again, it's just an iterative process. No surprise on this front. So you should or you could consider that it is 99% secure, I would say. Now of course, there are many other prospects in -- typically in Europe, Eastern Europe, in the Middle East as well. By the way, the recent events of this last weekend shows how air defense is important again and again after Ukraine, it's another, I would say, very visible and striking example of how air defense is important. And of course, it reinforced our conviction that some SAMP/T NG has a lot of potential in the years ahead of us. I don't want to mention any country in particular because they don't like us to disclose discussions. But believe me, the pipe is important in this domain. And in particular, both in terms of, I would say, performance offered by the SAMP/T NG versus its main competitor, which is the Patriot system. And secondly, an important criteria of decision is lead time. And again, SAMP/T NG is, I would say, available in the short run, clearly, before 2030, 2028, 2029, where the Patriot system, if you want to buy one tomorrow, you will have to wait much longer than the date I said for the SAMP/T NG. So all these criteria or all these elements are positive elements, and that makes SAMP/T NG a good candidate for future big orders in the years to come.
Operator: We are now going to proceed with our next question. And the questions come from the line of Aymeric Poulain from Kepler Cheuvreux.
Aymeric Poulain: The first question is on cyber again. And just to understand the phasing of the reacceleration, the gradual comments you make in the guidance? And why does it take so long to regain the lost market share of last year? That would be the first question. And secondly, to follow up on Ben's question on AI implication for cyber, but perhaps broadening the question on the whole portfolio. I mean, what do you see in terms of the overall competitive impact of AI on your various businesses? What are the most important challenges or opportunity? And maybe is there already some figures you can provide in terms of the contribution to sales or the benefit in terms of cost or the size of the investments that you're putting into your AI transformation?
Pascal Bouchiat: Maybe -- first good morning Aymeric ,thank you very much for your two questions. Maybe I will start on cyber. So in a nutshell, why is it so low? Why it so slow? I mean -- so of course, I mean, I guess it was quite clear that 2025 was below expectations. And we made it clear that, I mean, those difficulties that we faced in 2025 was above what we anticipated beginning of 2025. And it's true that it took us a bit of time, I mean, to put that under control in terms of, I mean, the organization of the sales force, the implementation of the new variable compensation program, getting the right level of training across the workforce. I mean, developing the new element, the new level of intimacy with customers and our sales force, our sales reps having to get trained to a new portfolio of products. So it seems to be easy from the outside. Now when you drive and you manage a sales force of more than 1,000 sales reps, I can tell you that it's not that easy. So we are, of course, a bit cautious. This is also our trademark globally. And we believe that we should see growth accelerating throughout 2026. Now let's take quarter-by-quarter, I mean, to give you more input on that. But please be assured that we are doing whatever we can, I mean, to accelerate on this cyber product business.
Patrice Caine: I've tried to explain, but perhaps I was not clear enough during the presentation, how we do leverage AI for a while now in all our different lines of products, be there I would say, sensors. I took the example of the TALIOS pod, but I could have mentioned how do we embed AI in our radars, in our electronic warfare equipment, in our even radio communication equipment, number one. And number two, how do we leverage AI in the so-called decision and making system, the C2 system, if I take the military acronym. And we have already powered by AI, several, if not many, C2, C3, C4I systems for several customers in the world. So it's not possible to give you a measure of how AI make us even more, I would say, attractive. But that's what I observed with the conversations I have with our customers, starting from world-class products and making them even more, I would say, attractive by enhancing their capability through AI. This is a clear and straightcut strategy for us. Last but not least, we do as well care about AI on our internal processes. That's another, I would say, aspect of how do we use AI. It's clear that it is a key element of our global and overall competitiveness plan. Now it's one element among many others. So it's, again, not possible to, I would say, decouple this one from all the others and to say, okay, the contribution of this element help us in this amount of -- in this percentage to improve the competitiveness of the group. But definitely, it is a key element that we use or a key enabler that we use to improve the overall competitiveness of Thales.
Operator: We are now going to proceed with our next question -- and the questions come from the line of David Perry from JPMorgan.
David Perry: So two questions. One simple one, one a bit longer. The simple one is the associate line was very strong. If you could just comment on that, that would be helpful. The second one, if I can be a bit provocative. If I -- you delivered a good EBIT number overall for the group, it was better than consensus. But if I compare it to expectations 12 months ago, you're kind of double-digit better on EBIT in Defense and Aerospace and you're about 20% worse in Cyber and Digital. What is the chance in 12 months' time that you meet your group guidance, which you often do, that it's going to be a lot better in defense or aerospace and worse in cyber, so -- or cyber and digital. If you can just give your level of confidence overall on the individual parts?
Pascal Bouchiat: David, thank you very much again for your insightful questions. So I mean, the first one, I mean, about equity affiliates. Yes, it's true that, I mean, 2025 was pretty good. Having said that, 2024 -- the 2024 reference base for equity earnings was pretty low. And it's true that we had in 2024, some negative one-off. I think probably a better reference base for equity earnings would be more 2023 than 2024. And if you compare 2025 against 2023, you will realize that overall, our equity earnings in 2025 are 20% above what we reported 2 years ago. And this is basically, I mean, a normal type of expected contributions and in particular, because it so that our defense JVs are doing pretty well, but also, I mean, fueled by, I mean, also the level of demand across the board. Maybe a last point, it's also true that and I mentioned it, we had on one of our CDI JV, a positive one-off in 2025. Now the underlying, I mean, message is that overall, across the board, we see, I mean, contributions from JVs keeping moving up. By the way, it could have been even better absent the tax surcharge in France that it never got contributions by EUR 8 million in 2025. So all in all, I mean, a pretty good level of contribution, but reflecting, in particular, defense JVs that are performing pretty well. And I could also mention JVs in the avionics business that are doing also pretty well. Now your second question about what is going to happen in a year's time when we meet again, how will -- no, I mean maybe I can start, Patrice, unless you want to. No, of course, I mean, we give you at this point, I mean, the best view that we have within Thales with, of course, I mean, defense with, I mean, quite a good traction on this matter. Avionics also pretty good traction. Space as well. And that's -- I mean, when you look at our level of growth for Space in 2025 has been above the expectations. It's a matter of fact. I mean, I remember a year ago telling you space revenue should be low single digit in 2025. Eventually, we have done the mid-single-digit plus for space, so doing better. I mean the -- then it's about cyber, and we share, I mean, how we see the situation getting back to growth progressively on cyber product. And I mean, this is what we expect to announce you in a year's time as we release our 2026 financials. But overall, what I see is that as compared to what we said a year ago, we are overall, whether it's order intake, whether it's revenue, organic growth, whether it's EBIT, whether it is net income, whether it's free operating cash flow, at the end of the day, when you look at our 2025 figures compared to what we said a year ago, all those metrics in terms of 2025 results are above what we said a year ago. I mean this is just a fact-based comments. So at this point, and we are just entering 2026 with, of course, a number of open points, and we see in a year's time whether or not, I mean, we'll be at this level or whether we'll be above what we guided this morning.
Patrice Caine: But we have shared what we do strongly believe in as we speak, of course. But David, every year, we face along the year, unexpected events. And typically, last year, it was a tariff who could have expected the decision taken by the U.S. President at the very beginning of 2025, no one, by the way, no one. Then it's our duty. And I think it's part of the merit of the business model of Thales to deliver whatever it happens. And the fact that, yes, we are, I would say, involved in several domains or several verticals, maybe a source of complexity for you guys trying to understand Thales, but it's also a source of resilience along the year when it happens something here or there. And it always happens something here or there, always, always always. So at the end, what really counts, it's Thales' results, even more importantly, that's the results of division A, B or C. And again, if we do our results by the end of this year a bit differently, what would be even more important is doing our results globally speaking. So we will see, David. We'll do our best to deliver, I would say, as expected per division, but what matters most is what we do at group level.
David Perry: Okay. And something we can chat about over the next dinner, which we look forward to.
Pascal Bouchiat: With pleasure, David, with pleasure.
Operator: Yes, we are now going to proceed with one final question. And the questions come from the line of Ross Law from Morgan Stanley.
Ross Law: So just one on kind of high level on the medium-term growth outlook, which you've upped -- the upper end of the range of 5% to 7%. Can you just provide some color on the growth rates at the divisional level? That's the first one. And then just secondly, on Space, what is the absolute EBIT contribution in '25? And what do you expect for '26?
Pascal Bouchiat: Okay. So at this point, I mean, a bit cautious and we are guiding you division by division for the 2024, 2028 period of time. I mean what we said today is overall Thales in terms of organic growth being at the high end range of the 5% to 7%. But at this point, we need to be more patient. I don't want to go deeper on this matter. Second point on Space. So you probably remember a year ago, we said that we're expecting, I mean, 2025, pre-restructuring EBIT being positive. What I can share with you is that overall, the post restructuring, so full adjusted EBIT for Space was slightly positive in 2025 despite the level of restructuring that in my memory is something around EUR 20 million. So overall being slightly positive despite the EUR 20 million headwind on restructuring. It shows that we have done a bit more than expected on this matter. And what we're expecting in 2026 is the further progression of our EBIT. All of that being consistent with the 7% plus 2028 EBIT margin that we shared at the Capital Market Day with some kind of linear progression in terms of EBIT margin. This is what we said a year ago, and this is what we can confirm today. So linear progression from this breakeven plus full EBIT margin in 2025 to 7% plus in 2028.
Patrice Caine: So thank you all for your questions. We'll be happy to meet you on the road in the next couple of days together with Pascal. If you have any follow-up questions, do not hesitate to reach out to Louis and the IR team. I wish you all a very good day. Thank you very much. Bye-bye.
Pascal Bouchiat: Thank you very much. See you. Bye-bye.
Operator: Thank you, ladies and gentlemen. If you didn't have a chance to ask your question on today's call, please do not hesitate to send your question to Thales Group Investor Relations at ir@thalesgroup.com, and we will get back to you as soon as possible. Thank you all for your participation. You may now disconnect your lines. Thank you.